Operator: Good afternoon. My name is Kaley, and I will be your conference operator today. At this time, I would like to welcome everyone to the Warrior Met Coal Second Quarter 2021 Financial Results Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session [Operator Instructions] This call is being recorded and will be available for replay on the company's website. Before we begin, I've been asked to note that today's discussion may contain forward-looking statements and actual results may differ materially from those discussed. For more information regarding forward-looking statements please refer to the company's press release and SEC filings. I have also been asked to note that the company has posted reconciliations of the non-GAAP financial measures discussed during this call in the tables accompanying the company's earnings press release located on the Investors section of the company's website at www.warriormetcoal.com. In addition to the earnings release the company has posted a brief supplemental slide presentation to the Investors section of its website at www.warriormetcoal.com. Here today to discuss the company's results are Mr. Walt Scheller, Chief Executive Officer; and Mr. Dale Boyles, Chief Financial Officer. Mr. Dale [ph], you may begin. 
Walt Scheller: Thanks, operator. Hello, everyone and thank you for taking the time to join us today to discuss our second quarter 2021 results. After my remarks, Dale will review our results in additional detail and then you'll have the opportunity to ask questions. During the second quarter, global steel production continued its recovery trajectory from the impact of the COVID-19 pandemic and we were pleased to see strong market demand from customers around the world. As met coal prices improved during the quarter, we were able to take advantage of the groundwork we previously established to increase sales and reduce inventories. As a result, we were able to capitalize on China's ban on Australian coal imports through higher sales to Chinese customers at higher prices compared to the Australian FOB prices. As a result of these pricing dynamics and our ability to successfully manage costs, working capital and CapEx spending, we were able to deliver another strong quarter of free cash flow and adjusted EBITDA. We continue to execute successfully on our business continuity plans in response to the UMWA strike, which began on April 1st, allowing us to continue to meet the needs of our valued customers. While we continue to negotiate in good faith to reach a new contract, the UMWA unfortunately remains on strike. Despite incurring incremental costs associated with the strike, we've been able to manage our working capital and spending to deliver strong results in this market. Steel market fundamentals remained strong throughout the second quarter, propelled by strong demand across the majority of sectors and tight supply across most regions. Even the impact of the microchip shortage on automobile production was barely noticeable on overall steel demand. The World Steel Association reported a 6.8% increase in global pig iron production for the first six months of the year, with China increasing its year-over-year production by 4%. Excluding China, the rest of the world grew its pig iron production at an impressive rate of 13%. The strength observed in the steel market since the beginning of the year finally, made its way into the met coal markets during the second quarter. Although, we've been expecting some level of upward pricing corrections take place, we were nonetheless surprised by the magnitude and speed of the correction. During the second quarter, the Australian FOB indices experienced a gain of $82 per metric ton, rising from its low of $107 per metric ton on April 30 to its high of $194 per metric ton at the end of June. Likewise, the CFR China indices gained $93 per metric ton from its low of $216 per metric ton on April 1st to its high of $309 per metric ton at the end of June. The Chinese ban on Australian coals remains firmly in place with no signs of policy changes in the short-term. The global seaborne met coal trade has adapted quickly to these conditions as illustrated by the change in trade flows. China has increased its reliance on imports from North America, Russia and landborne imports from Mongolia while Australian coal producers have increased their exports to India, Japan Korea and Taiwan and they've also exported more into our natural markets of Europe and South America. These conditions are expected to continue as long as the ban is in place. We've been successful in placing some of our premium coals into China during the second quarter while capturing 100% of the CFR China index price on the day of the sale. Sales volume in the second quarter was 1.8 million short tons compared to 1.5 million short tons in the same quarter last year.  Our sales by geography in the second quarter were 31% into Europe, 6% in South America and 63% into Asia. The higher than normal sales to Asia was primarily driven by Chinese demand that we capitalized upon during the second quarter. Production volume in the second quarter of 2021 was 1.2 million short tons compared to 2.1 million short tons in the same quarter of last year. The decrease is attributed to Mine 4 being idle and Mine 7 operating at lower rates due to the ongoing strike during the second quarter. These results also include a zero-day longwall move during the second quarter at Mine 7, which is accomplished by having the extra set of longwall shields we purchased some time ago. Our gross price realization for the second quarter 2021 was 100% of the Platts premium Low-Vol FOB Australian index price and was the same amount achieved in the prior year period. Our gross price realization was primarily, due to a higher percentage of our sales to Chinese customers at the CFR index price. Our spot sales volume in the second quarter was approximately 34% of total volumes, down from 48% in the first quarter when compared to our normal expectation of approximately 20%.  I'll now ask Dale, to address our second quarter results in greater detail. 
Dale Boyles : Thanks, Walt. What a difference a year makes? Last year's second quarter saw the peak stages of COVID-19 and its impact on the steel and met coal industries, tripled down to our company even as we continued to run both mines at near capacity. In contrast, this year our second quarter results were negatively impacted by the UMWA strike in, which we idled Mine 4 and significantly reduced operations at Mine 7. As we executed our business continuity plans to meet our contractual commitments to our customers, we drew down our inventory levels to take advantage of strong market conditions to generate strong results of adjusted EBITDA and free cash flow. For the second quarter of 2021 the company recorded a net loss on a GAAP basis of approximately $5 million or a loss of $0.09 per diluted share compared to a net loss of $9 million or $0.18 per diluted share in the same quarter last year. Non-GAAP adjusted net income for the second quarter, excluding the nonrecurring business interruption expenses, idle mine expenses and incremental stock compensation was $0.25 per diluted share compared to a loss of $0.18 per diluted share in the same quarter of 2020. Adjusted EBITDA was $65 million in the second quarter of 2021 as compared to $20 million in the same quarter last year. The quarterly increase was primarily driven by a 24% increase in sales volume and a 14% increase in average net selling prices. Our adjusted EBITDA margin was 29% in the second quarter of 2021, compared to 12% in the same quarter last year.  Total revenues were approximately $227 million in the second quarter of 2021, compared to $164 million in the same quarter last year. This increase was primarily due to the 24% increase in sales volume and the 14% increase in average net selling prices. The Platts Premium Low-Vol FOB Australian index price averaged $19 per metric ton higher were up 16% in the second quarter of 2021, compared to the same quarter last year. The index price averaged $137 per metric ton for the quarter on the back of a 37% increase in the month of June alone. Demurrage and other charges reduced our gross price realization to an average net selling price of $123 per short ton in the second quarter of 2021 compared to $108 per short ton in the same quarter last year. Cash cost of sales was $152 million or 68% of mining revenues in the second quarter, compared to $130 million or 82% of mining revenues in the same quarter of 2020. The increase in total dollars was primarily due to a $31 million impact of higher sales volume, partially offset by $9 million of lower variable cost and a concerted effort to keep our costs low and in line with lower production. Cash cost of sales per short ton FOB port was approximately $83 in the second quarter, compared to $88 in the same period of 2020. Cash costs on price-sensitive costs such as wages transportation and royalties that vary with met coal pricing were lower in the second quarter combined with a focus on cost control. Depreciation and depletion expenses for the second quarter of 2021 were $40 million, compared to $22 million in last year's quarter. The increase quarter-over-quarter was primarily due to 24% higher sales volume as these expenses are first capitalized into inventory and then relieved when the tons are sold. In addition, this quarter included approximately $5 million of Mine 4 depreciation that would have normally been capitalized into inventory with production. However, it was directly expensed due to the idling of Mine 4. SG&A expenses were about $11 million or 5% of total revenues in the second quarter of 2021 and were higher than the same quarter last year, primarily due to higher non-cash stock compensation expense, which included an incremental $4 million associated with the accelerated vesting of awards to certain individuals that reached retirement eligibility. During the second quarter, we incurred incremental non-recurring business interruption expenses of $7 million directly related to the ongoing UMWA strike. These nonrecurring expenses were primarily for incremental safety and security, legal and labor negotiations and other expenses. As a result of the ongoing UMWA strike that began on April 1st, we Idled Mine 4 in the second quarter. We incurred $11 million of expenses associated with the idling of Mine four and reduced operations at Mine 7. These expenses were primarily fixed cost in nature for electricity, insurance, maintenance, labor and taxes. Net interest expense was about $8 million in the second quarter, included interest on our outstanding debt, interest on equipment financing leases, plus amortization of our debt issuance cost associated with our credit facilities partially offset by interest income. The slight increase quarter-over-quarter was primarily related to new equipment financing leases. We recorded an income tax benefit of $7 million during the second quarter of 2021, compared to a benefit of $4 million in the same quarter last year. The second quarter of this year included a benefit due to the pretax loss and additional marginal gas well credits. The year-to-date, tax expense include a non-cash charge of $25 million recognized upon the establishment of a valuation allowance against our state deferred income tax assets. This result was due to a change in Alabama state tax law in February that became effective as of the beginning of the year. In essence, our export sales are no longer subject to Alabama state income taxes and therefore, the value of our state, net operating losses have been written down. Turning to cash flow, during the second quarter of 2021, we generated $53 million of free cash flow, which resulted from cash flows provided by operating activities of $69 million. Thus cash used for capital expenditures and mine development cost of $15 million. Free cash flow in the second quarter of 2021 was positively impacted by a $32 million decrease in net working capital. The decrease in net working capital was primarily due to a decrease in coal inventory, due to higher sales volume and lower production. Higher collections of accounts receivable partially offset the decrease in accounts payable and accrued expenses from lower production volumes in the second quarter. Cash used in investing activities for capital expenditures and mine development costs were $15 million during the second quarter of 2021, compared to $31 million in the same quarter last year. We continue to rationalize spending during these unprecedented times. However, we do expect to spend more dollars in the second half of 2021 to keep the mines well-capitalized. Cash flows used by financing activities were $9 million in the second quarter of 2021 and consisted primarily of payments for capital leases of $6 million and the payment of the quarterly dividend of $3 million. Our total available liquidity at the end of the second quarter was $288 million, consisting of cash and cash equivalents of 267 and $21 million available under our ABL facility. This is net of borrowings of $40 million and outstanding letters of credit of approximately $9 million. Our balance sheet has a leverage ratio of 1.3 times adjusted EBITDA. And notably, we have no near-term debt maturities. We believe our liquidity position and strong balance sheet combined with a low and variable cost structure has enabled us to weather this period of uncertainty and gives us the flexibility to continue to manage through a continued uncertain landscape. Now, turning to our outlook. Due to the ongoing uncertainty related to our negotiations with the union the COVID-19 pandemic, the Chinese ban on Australian coal, and other potentially disruptive factors, we will not be providing full year 2021 guidance at this time. We expect to return to providing guidance once there is further clarity on these issues. We continue to appropriately adjust our operational needs including managing our expenses, capital expenditures, working capital, liquidity, and cash flows. In addition, we have delayed the development of the Blue Creek project and our stock repurchase program also remains temporarily suspended. I'll now turn it back to Walt for his final comments.
Walt Scheller: Thanks Dale. Before we move on to Q&A, I'd like to make some final comments. As we look forward, we expect the favorable market conditions to continue throughout the third quarter as indicated by our contract and spot customers. We've recognized the uncertainty created by the Chinese government's mandate to limit 2021 steel production to 2020 levels and we'll continue to monitor the situation closely. At the same time, we are also balancing our contractual obligations to our long-term customers with the transitory opportunities created by the changes in the seaborne met coal trade flows. We understand that many of you have questions about the status of the UMWA negotiations, estimates of potential outcomes, and possible timelines. Unfortunately, we cannot speculate at this time on any of those topics for various reasons. Let me just say that we value and appreciate the hard work of our hourly employees. Our priorities have always been keeping people employed with long-lasting careers and ensuring the company remains financially stable in a particularly volatile coal market. While we are disappointed that the union continues with the strike, we continue to negotiate in good faith to reach a resolution. Finally, as we navigate through these headwinds we will continue to execute our business continuity plans to meet our contractual customer commitments. In closing, we believe we are well-positioned to fulfill our customer volume commitments for 2021 of approximately 4.9 million to 5.5 million short tons through a combination of existing coal inventory and expected production during the rest of the year. Those numbers assume that Mine 4 continues to be idle and that production continues at Mine 7, although at lower than usual rates. While we have business continuity plans in place, the strike may still cause disruption to production and shipment activities and the plans may vary significantly from quarter-to-quarter for the remainder of 2021. With that we'd like to open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from David Gagliano with BMO Capital Markets. Please go ahead.
David Gagliano: Hi, thanks for taking my questions. I just have a couple of quick ones. First of all, can you just give us the number of direct tons that were sold into China in the second quarter? And what was the netback price of those tons? And then on a related note can you just give us a sense of what if any the expected sales are for the third quarter on two parts direct into China and then overall, given the uncertainty around the duration of the strike and inventory is down to 500,000 tons just to get a better sense to your expectations for the next couple of quarters for sales volumes?
Dale Boyles: Thanks, David. This is Dale. For the second quarter, there's about 600,000 short tons sold into China. So as we drew down our inventories more to that normal level, I'm not sure, how much we will be selling into China the rest of this year. It's going to depend on production. But if we get some opportunities, as you can see we still have about 1.1 million to 1.7 million tons in customer commitments for the rest of the year. So to the extent, we get the opportunity we'll try to capitalize on it as best we can. But at this point, it's kind of difficult to forecast that.
David Gagliano: Okay. Just – so just a quick follow-up. So 600,000 tons and – I guess, I'll probably get back into it, but what was – actually probably can. What was the average price of the tons that were sold directly into China on a netback basis?
Dale Boyles: Well, we typically capitalized on the CFR price on the day of the sale. So we're not going to get into the details of what the netback was in those particular transactions. But it did help us achieve 100% of the benchmark that really kind of drove up the realization – gross profit – I'm sorry the gross price realization for the quarter.
David Gagliano: Okay. And then just real quick, you mentioned 1.1 million to 1.2 million left to sell under customer commitments. Is that effectively what we should be assuming for second half sales volumes overall?
Dale Boyles: Well, that's our minimums. To the extent, we produce more during the second half each quarter then that would help us generate any positive upside from there.
David Gagliano: Okay. I'll turn it over to someone else. Thanks.
Operator: Your next question comes from Nathan Martin with Benchmark Co. Please go ahead.
Nathan Martin: Hey, good afternoon, guys. Congrats on the quarter. And thanks for taking my question. First off, maybe just to follow-on with Dave's comments, I think maybe your sales number in the quarter caught some people by surprise. And obviously, it looks like you've already sold nearly 3.5 million tons during the first half, but you're sticking with your plan to fulfill commitments of 4.9 million to 5.5 million. It sounds like maybe Dale your point was you got 1.1 million to 1.7 million left as far as customer commitments are concerned for the year. That's the minimum. There could be some upside. I mean, are we thinking about that correctly? And maybe just looking at production you guys did 1.2 million tons of production in Mine 7 in the second quarter. Do you think that's repeatable in 3Q or even 4Q if the strike continues? Thanks.
Walt Scheller: This is Walt. First on the production, we didn't mind 1.2 million tons out of Mine 7 in the second quarter. Actually, both mines before the strike began we had one full week of production out of both mines. So it's really not a complete quarter of just strike-related production volumes. So I think just taking that and assuming that's the correct number in Q3 and Q4 is probably a little aggressive. On our sales, I think we're just trying to – we're looking at where our inventory levels are, what we think are reasonably placed production expectations and we feel confident that we can hit – make our customer commitments, and hopefully, have a little extra coal to sell to some other opportunities.
Nathan Martin: Yeah. I apologize, Walt that is fair in the production. I forgot you did have about 150000 tons from Mine four as well before that got idled. So I guess maybe just shifting over to the cost side obviously you guys sold a decent chunk of inventory this quarter. And as you mentioned before I guess the cost would have been based on full year workforce numbers for those tons. And assuming again the strike continues how do we think about what cost could look like going forward based on Mine 7 operating at reduced levels? And have you seen any impact from inflation at this point as some of your peers have started to play out? 
Walt Scheller: We haven't seen a great deal of impact from inflation yet. I think in terms of our costs I think once you balance everything in the additional cost of some of the strike issues and the fact that prices have gone up quarter-to-quarter we're going to see a little higher transportation costs. We're going to see a little higher royalty costs. But all in all I think we'll still end up in the same place, we've been quarter after quarter and pretty manageable around that level. 
Nathan Martin: Okay. Great. Thanks for that color. Walt -- and then just maybe one final bigger picture question for me. Just thinking about looking ahead to 2022 let's just assume the strike has ended full workforces back. How might we think about production? You guys mentioned before that you had enough lead time with the continuous miners there at Mine 7 that you should be set for production this year and fulfilling your commitments. But now that you've been working with a slightly reduced team there at Mine 7, how do we think about next year and possible changes if anything has to be based on the mine plan etcetera? 
Walt Scheller: My expectation would be that we would enter next year with -- if the strike ended and we were back at full production, my expectation we would get back to normal full production volumes that we've achieved over the last few years. 
Nathan Martin: So somewhere maybe in that 7 million -- 7.5 million kind of range. Is that fair? 
Walt Scheller: Yes. 
Nathan Martin: Okay. Perfect. Great. Walt, Dale appreciate your thoughts and thanks for time and love to watch in the second half.
Walt Scheller: Thank you. 
Operator: Our next question comes from Matt Farwell with Roth Capital. 
Matt Farwell: Hi, good morning. If you could just give me an understanding of productive capacity of Mine 7. I know that we've talked about some idea -- you gave us some idea of what productive capacity is but is it 800,000? Is it 900,000? And is that all continuously mined tons or is the longwall running? I just wanted to get some further clarification on that question?
Walt Scheller: Both longwalls are currently operating. Several of the CM units are currently operating. Productive capacity is variable based on how many folks we actually have. But right now as I said, if you look at Q2 and back out that first week we would have probably been in the -- I don't know what 950,000 or something like that would have been about the number something like that I might be off by 50,000. 
Matt Farwell: Great. Thanks. That’s all I have for now. Thank you very much.
Walt Scheller: Thank you.
Operator: [Operator Instructions] Your next question comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thanks, very much and good afternoon everybody. I have a follow-up question to Matt's question just there. In terms of the CM units, are they able to keep pace at Mine number 7 with the longwall that the development panels are getting cut, or would you say that kind of longwall is catching up to the CM units? Thank you, very much.
Walt Scheller: We don't have any concern with where our CM units are in relation to our longwalls at this point. We're pretty confident about where we are from a lead time standpoint.
Lucas Pipes: Got it. Very helpful. And bigger picture question. In terms of current market conditions, obviously, you noted in your prepared remarks -- pretty impressive turnaround. I'm sure this factors in the negotiations, but is there a price where you'd say like let's get people back to work? I'm sure you can't answer it directly, but any thoughts you could share as to how this market environment factors in would be helpful. Thank you.
Walt Scheller: Lucas, when I look at the market over the last 10 years, it's so volatile. And we've seen prices down in the 80s. We've seen prices of $300 million and when we look at the market we can't just focus on the current quarter or where we see things happening in the next quarter. We have to look at -- for a five-year contract, we have to look at what our cost would be throughout the duration at various market points. And that's where we are very focused. It's making sure we had call it 1,000 hourly employees and 400 or so salaried employees. And we're trying to make sure that we have the ability to keep every one of those people working the entire five years, as we did in this last contract. And that's our goal is to take care of these folks and make sure they have fair compensation and that we're also protecting the company at the same time.
Lucas Pipes: I appreciate that. Thank you and best of luck.
Walt Scheller: Thank you.
Dale Boyles: Thanks, Lucas.
Operator: At this time, there are no further questions. I will now turn the call back over to Mr. Scheller for any comments.
Walt Scheller: That concludes our call this afternoon. Thank you again for joining us today and we appreciate your interest in Warrior Met Coal.
Operator: Thank you. And that concludes today's conference. Thank you all for participating. You may now disconnect.